Operator: Greetings and welcome to Lightbridge 2018 Second Quarter Earnings and Business Update Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. David Waldman, Investor Relations. Please go ahead.
David Waldman: Thank you, Hektor. Good morning, and welcome to Lightbridge’s second quarter 2018 business update conference call. The company’s press release was distributed after the market closed yesterday and can be viewed on the Investor Relations page of the Lightbridge website at ltbridge.com. If anyone has questions after the call, you may contact Crescendo Communications, the Investor Relations firm for the company at 855-379-9900. Seth Grae, our Chief Executive Officer, will lead today’s call. In addition, the following executives are available to answer your questions; Linda Zwobota, Chief Financial Officer; Jim Malone, Senior Vice President and Chief Nuclear Fuel Development Officer; Andrey Mushakov, Executive Vice President for Nuclear Operations; and Jim Fornof, Vice President for Government Program Management. Today’s presentation includes forward-looking statements about the company’s competitive position in product and service offerings. During the course of today’s call, words such as expect, anticipate, believe and intend will be used in our discussion of goals or events in the future. This presentation is based on our current expectations and involves certain risks and uncertainties that may cause actual results to differ materially from such estimates. These and other risks are set forth in more detail in Lightbridge’s filings with the Securities and Exchange Commission. Lightbridge does not assume any obligation to update or revise any such forward-looking statements, whether as a result of new developments or otherwise. You can participate in today’s call in two ways. First, you may submit questions for management in writing to ir@ltbridge.com. If you have already submitted a question, we thank you. You can submit them at any time during the prepared remarks or during the Q&A period. Second, after the prepared remarks, telephone lines will be opened for live questions. Now here is Lightbridge CEO, Seth Grae. Please go ahead Seth.
Seth Grae: Thank you Dave, and good morning, everyone. We are making tremendous progress with the Enfission JV towards validation and commercialization of Lightbridge’s metallic fuel. We are benefiting from strong industry support due to the fact, our fuel enhances the economics and power output of existing and planned nuclear reactors, not to mention the safety and nonproliferation benefits of our fuel. As we advance towards commercialization, we recently made the strategic decision to conduct initial testing and demonstration of our advanced metallic fuel in the United States. There are a number of benefits beyond addressing the planned shutdown of the Halden reactor in Norway. Specifically, conducting these tests in the U.S. allows us to accelerate our commercial deployment timeline. As a result, we plan to commence testing of our fuel in the U.S. research reactor by 2020, as well as deploy a lead test rod assembly in a U.S. commercial reactor by 2021, which will be major milestones, not only for our company and for Enfission, but for the nuclear power industry as a whole. We look forward to announcing later this year or early next year, formal arrangements for irradiation testing of our fuel samples in a U.S. research reactor and our lead test rod assembly program with a U.S. nuclear utility. I would now like to provide a quick overview of specific activities we’ve undertaken at Enfission. Let me start with the work we’re doing on the fabrication of our fuel. First, we completed the initial cost estimates for U.S.-based facility to develop the fabrication process and produce partial-length and full commercial length fuel rods. Second, we began preparatory work at a lab facility and began initial material testing to support fabrication development. Third, we completed a number of necessary activities in support of fabrication process developments. These include developing coextrusion models for process evaluation and optimization and developing equipment functional specifications. And fourth, we’ve also initiated the fabrication of samples in order to select the most optimal alloy forming process. Turning next to our fuel design. First, we’ve successfully completed the initial modifications of the APOLLO-2 neutronics code to model Lightbridge Fuel geometry. Next, we completed the evaluation of Critical Heat Flux heater rod designs in support of planned testing. Third, we began rod optimization work and evaluated lead test rod designs and different options for them. And fourth, as discussed earlier, we evaluated alternatives to the Halden research reactor for irradiation testing in support of fuel demonstration and we identified a far better domestic pathway in order to maintain our deployment schedule. Turning to regulatory licensing. First, we completed the regulatory engagement plan for the U.S. Nuclear Regulatory Commission, NRC interactions; second, we began the process to identify fuel design limits in support of licensing activities; and third, we completed the preparatory work for our first NRC meeting, which will be held in the third quarter of 2018. This has been a busy and productive quarter. Even the progress we’re making, Lightbridge’s metallic fuel design is attracting significant attention at both the commercial and governmental levels in that our technology has the potential to enhance reactor safety; improve nuclear power plant’s economics to increase power output and/or longer fuel-cycles; improve proliferation resistance of spent fuel; reduce the amount of waste and extend the operating lives of reactors. One example of the growing governmental support for nuclear power is the U.S. Department of Energy’s grant programs, focused on accelerating advanced nuclear technology in the United States. Lightbridge is applying for DoE funding this year. If awarded to us, we expect the grants could be quite significant and could help offset some of the development and regulatory costs, plus the grants would provide additional benefits. The growing industry support for our technology was evident from a positive feedback Lightbridge and Enfission received at the World Nuclear Exhibition in June. This was an excellent venue to educate industry, regulatory, and government officials on the advantages of Lightbridge Fuel technology. Along with our participation at the World Nuclear Exhibition, Jonathan Baggett, Vice President of Program Management and Deputy Nuclear Quality Assurance Manager at Lightbridge, participated in a panel discussion at the James Martin Center for Nonproliferation Studies Roundtable Event in June about Saudi Arabia’s Nuclear Energy Program and its planned one, two, three agreement for nuclear cooperation with the United States. It’s important to note that spent fuel from our fuel designs cannot be used for the production of nuclear weapons, which has been independently validated in a recent peer-reviewed paper. As announced in June, we were awarded a key patent filing to our metallic nuclear fuel assembly design. This latest patent extends Lightbridge’s patent portfolio coverage in the U.S. to cover an entire metallic fuel assembly designed for Western type pressurized water reactors, which comprised two-thirds of those in operations worldwide. And our fuel can also be used in virtually every other nuclear power plant. Similarly, in Japan, we received a notice of allowance for a patent related to our innovative metallic fuel rod and fuel assembly design. Japan currently has 39 operable reactors with nine reactors having been brought back online and a further 16 in the process of restart. As a result, Japan represents an important market for our fuel. We are making steady progress in our commercialization efforts, including applying for DoE funding, which would help accelerate our commercial timeline. At the same time, our balance sheet remains strong, and we ended the quarter with approximately $25.7 million of cash and cash equivalents as of June 30 2018, which does not include $5.2 million of cash that we have contributed into Enfission year-to-date. Framatome has also been contributing cash into Enfission. We see massive opportunity ahead with a key milestones forthcoming that we believe will drive significant value for shareholders. Now, I’ll turn the call over to Lightbridge’s Chief Financial Officer, Linda Zwobota, to summarize the company’s financial results for the quarter.
Linda Zwobota: Thank you, Seth. For information regarding our second quarter financial results, please refer to our recently filed earnings release and Form 10-Q for all of the details. As Seth mentioned, we ended the quarter with approximately $25.7 million in cash and cash equivalents, which does not include, as mentioned by Seth, the $5.2 million of cash that we have contributed into Enfission year-to-date. The strong cash position provides us with significant flexibility and the ability to both fund operations, as well as activities that advance our commercial designs and the manufacturing of lead test rods and assemblies. As these activities progress over the next couple of years, we expect Enfission to begin receiving fuel-related cash contributions from nuclear utility customers. And at the same time, we are actively pursuing non-dilutive funding options, which could include meaningful government grants that would help to further accelerate our commercialization timeline. The $21.2 million increase in cash and cash equivalents resulted from the sale of approximately $25.9 million of common stock and net proceeds of $3.9 million of preferred stock during the six months ended June 30, 2018. This amount of cash inflow was partially offset by net cash used in operating activities of approximately $3.2 million and our capital contributions for our capital investment in Enfission of approximately $5.2 million. We used cash during the six months ended June 30, 2018, primarily to fund our research and development expenses and general and administrative expenses. We had a working capital surplus of approximately $24.8 million. During the six months ended June 30, 2018, Enfission incurred a loss of approximately $2.8 million. And accordingly, the company recorded its share of the loss in investment in Enfission. Stockholders’ equity at June 30, 2018 was approximately $28.7 million, compared to stockholders’ equity of approximately $5.8 million at December 31, 2017. As I mentioned last quarter, one of the key reasons we raised money in 2018 was to put ourselves in the financial position to apply for and potentially receive funding from the U.S. Department of Energy this year. We anticipate that these recent financing activities in 2018 will help us meet the minimum cost-sharing requirements that commercial recipients of the DoE funding must satisfy. What this means is that the strength of our current balance sheet will enable us to apply for non-dilutive DoE funding and grants that would otherwise not have been available to us. This potential DoE funding would be used towards the future development and/or regulatory licensing of Lightbridge Fuel. The dollar amounts and timing of DoE funding is awarded to us, are unknown at this time, but we expect them to be significant and meaningful to our project. We continue to carefully manage our expenses and excluding funding that may be required for research and development expenses, we still expect our monthly cash burn for general and administrative expenses to be in the range of 400,000 to 500,000 per month for the next 12 months. We anticipate our spending for research and development activities, including our work through Enfission will be in the range of $10 million to $12 million in 2018, which is also well within our means, given the strength of our current balance sheet. This spending will be used to advance our technical milestones. The 2018 financings have provided us with more than sufficient working capital to execute our research and development strategy for the next 12 months and beyond and has provided us capacity to apply for grants from the DoE. I will be available for your questions during the next segment of today’s presentation. But Seth, back to you.
Seth Grae: Linda – at that time, Linda will be retiring, and this will be her last month as Lightbridge’s CFO. On behalf of the entire Lightbridge team, we would like to thank Linda for all her hard work. Linda has been an outstanding CFO, and has played a key leadership role at Lightbridge since 2009. Linda, we deeply appreciate your many significant contributions, which have included: carefully managing the company’s finances, managing our financial risks, implementing our Sarbanes Oxley systems and key internal controls, establishing processes for record keeping and financial reporting, and many others. I would also like to announce that filling Linda’s role will be Larry Goldman, who’ll take over as CFO effective September 1. Larry has been working with the company since 2006, first, as a consultant and became the Chief Accounting Officer in 2008. Larry is an experienced corporate finance executive with extensive auditing, SEC and Sarbanes Oxley experience, as well as a proven track record leading and advising public and private companies through capital markets transactions, international expansions, mergers and acquisitions, and other complex financial transactions. He also brings strong and government contracting and accounting experience, which will be helpful as we move forward on our grants and other governmental activities. Linda will continue to support Larry as he transitions into this new role as CFO. Jim Fornof joined Lightbridge in June as Vice President for Government Program Management. As David mentioned, Jim is participating on today’s call. Jim has been crucial to our application process for DoE grants and will be just as important in managing any grants we receive. Jim came to us from Fluor Power Group, a Fortune 500 company, where he was responsible for nuclear projects globally. His previous positions include serving as Director of Strategic Investment and Manager of Business Development for Nuclear Power Plants for Westinghouse Electric Company. At this time, I’d like to open the call for your questions. In addition to asking live questions by telephone, you can also submit questions in writing to ir.@ltbridge.com. We’ll pause while the operator Hektor reviews the procedure for answering live questions.
Operator: Thank you. At this time, we’ll be conducting a question-and-answer session. [Operator Instructions].
Seth Grae: And while we wait for live questions, David Waldman, who is with Crescendo Communications, which handles our Investor Relations, will proceed with questions come – that have come in by e-mail. David?
David Waldman: Thank you, Seth. And it actually looks like we’ve got a bunch teeing up at the moment. So let me turn it quickly to Hektor, who’ll open up some live and then I’ll come back to the submitted questions.
Seth Grae: Okay, great.
Operator: Our first question comes from the line of Carter Driscoll with B. Riley FBR. Please proceed with your question.
Carter Driscoll: Good morning, Seth. So wanted to, maybe two-part question, talk about the goals of your upcoming meeting with the NRC. And does that have – or is it – will it play any role, the outcome or discussions on the application or pursuit of funding with the DoE?
Seth Grae: Okay. Well, let me first ask Jim Malone to address the goals of the upcoming NRC meeting and how it could relate to DoE funding applications.
James Malone: Okay. Thanks, Seth. The goal of the NRC meeting is to begin aligning the NRC’s review process with the attributes of our fuel. We are very different from the common types of fuel that the NRC currently licenses. And as such, we have to work with them to establish a reasonable set of guidelines that they’re going to measure the fuel against. So we’re – that’s really the goal of the meeting is to begin aligning the technology with the NRC review process. With respect to the DoE decision-making process, I’m not sure that the NRC Lightbridge interactions are going to influence that at all and the timing is probably not aligned well enough for that to happen. But certainly, we will be reporting on the outcome of the meeting. And what we expect from the point of view of regulation, we’re going to strive to help shorten the time period required to obtain the NRC’s approval.
Carter Driscoll: But – just so I understand, in terms of the DoE funding, imilar type of education process in the application for certain grants, is that reasonable?
James Fornof: This is Jim.
Seth Grae: Jim Fornof.
James Fornof: Yes, Jim Fornof. The process is really separate and they are on parallel tracks. The NRC doesn’t really have an input to that. It’s just at some point, they converge and they have to work in harmony. But the application itself doesn’t really have any feedback from the NRC.
Seth Grae: Well, clearly, what we do as a company, Carter, is very coordinated in our messaging. The NRC is probably the most independent of all government agencies there is. And anything that could even give the impression of trying to violate that independence would not be received well.
Carter Driscoll: No, I understand. You certainly have well answered their separate process. I’m trying to understand the education process that you’re going to undergo with the NRC. Will that be a similar type of process you will need to apply for the DoE award, or is it more of a mechanical function where you line up the attributes and pluses and minus in trying to apply for a certain bucket of funding, or is it the same level of detail required? I mean there’s a lot of different buckets in the DoE. I’m just trying to understand the probability or likelihood of you guys being able to acquire some of those awards?
Seth Grae: So Andrey Mushakov will take this one.
Andrey Mushakov: Yes. So Carter, we’ve been actually attending lots of meetings and discussions with DoE over the past several years different parts and different departments of DoE, including at Department of Nuclear Energy part of DoE,as well as the technical experts that include both DoE as well as U.S. National Lab technical experts. So they’re highly knowledgeable and educated by this time about our field design, what the attributes are, et cetera. We’ve had meetings both as Lightbridge itself, meetings with both Lightbridge and Nuclear Utility Fuel Advisory Boards, fuel managers, the DoE as well as with our joint venture partner, Framatome. So at this point we believe that they have a pretty good understanding of what our technology can do and the benefits that our technology brings both for the resistance fuel of U.S. reactors, as well next-generation or advanced types of reactors, such as small modular reactors, for example, such as the new-scale small modular reactor, as well as other types of wwater-cooled reactors. So at this point, the DoE grant application is a separate process as both James indicated and it requires basically a lot of different documents or a lot of different forms and information the has to be submitted to the DoE. So at portal and basically, then DOE is going to evaluate the various submittals and then there’s going to be a public announcement by DoE about the awards.
Carter Driscoll: Perfect. I appreciate answering that. If I could just sneak in another one. Seth, is there an opportunity with the 16 reactors going back online in Japan to do something similar to what you have been doing with Norway to kind of real live test of a facility?
Seth Grae: Well, there are nine that have come back online. There are 16 now formally in the process of coming back online and we expect more than that. But no, these are commercial units. Norway would have been a research reactor, not a commercial unit. And our first commercial unit demonstration will be here in the United States. And as I said, we’ll have an announcement on that later this year or early next year.
Carter Driscoll: Thanks, Seth. I appreciate taking my questions, guys.
Seth Grae: [indiscernible]
David Waldman: So while we tee up the next question, another similar question that came in online was, can the company provide more color on the specific timing for both submission and award of potential grants?
Seth Grae: Well, all we’ve said is, we are applying this year. DoE tries to make announcements and decisions just over three months after applications are made. So potentially, there could be news this year or there could be news in the early part of next year. But it is really out of our hands. But we will be applying this year.
David Waldman: Thank you. Hektor, if we can go to a live question now.
Operator: Our next question comes from the line of James Anderson, private investor. Please proceed with your question.
Unidentified Analyst: Seth, I got a few points I want to understand about your grant receipts and then I have one follow-up question. Glad to hear about your progress towards receiving a DoE grant. And I – dilutive funding and credibility that comes with, it’s great for the shareholders. Can you tell us which funding pathway Lightbridge will or has applied for? For example, first of a kind readiness is a possible pathway. And considering new skill has won multiple times from the same FOA. If you win once, will you seek additional awards in future quarters? And are there additional grants beyond this particular opportunity, you can tell us about that you’ll be applying for this year. I have one follow-up question after your reply?
Seth Grae: Well, James, thanks of the question. And, yes, we agree with your description of the benefits of the DoE grants and there are pathways you mentioned and there are others as well. We are applying under one of the pathways and which that is right now is confidential and DoE doesn’t like these things discussed in advance and before they should be made public. And one of the reasons why Jim Fornof isjoining the company is to bring expertise not just for the application process, but for managing the process hopefully after a positive result. That one other pathway we could apply under could be support for regulatory licensing at the NRC and DoE is providing grants for that now. And yes, as NuScale has demonstrated and some other companies in earlier programs, once a grant is given companies they do execute well on the grant do have an opportunity to apply for further funding even increased funding and begin what could be a very long public private partnerships with DoE. So now we’re getting ahead of ourselves here, but just to answer your question of what it could lead to, yes. And Jim Fornof, if you want to add to that.
James Fornof: Yes, I think, there are lots of opportunities within the Lightbridge path to commercialization that could be executed in cooperation with the DoE and the earlier ones are more basic transitioned from research to development. And I think that’s kind of about the right place for Lightbridge at the moment. But yes, there’s lots of future opportunities for that kinds of – kind of partnership partnering.
Seth Grae: Yes. And as you mentioned, the demonstration of non-dilutive financing that could be dramatic and significant non-dilutive financing.
Unidentified Analyst: Thanks very much for that color, slightly different track, but while you provided some detail just now in recent PRs, you stated Lightbridge is progressing and received positive feedback at the WNE Conference. But these affirmations are often too vague to translate into shareholder value, which unfortunately the current price reflects. However, your collective private investor efforts I know your statements are accurate. For example, your invitation and attendance at the Halden Capability Assistant Workshop, which I hope helped to gain clarity and crystallized your testing point. Shareholder shouldn’t need to scour the web to color your statement ought to be easy to find on your website. Given that I want to know what you’re doing to align your bullish assertions with a detail investors need to build confidence like I just provided?
Seth Grae: Yes. As a nuclear energy technology company, we are remarkably transparent, but we’re striving to become even more transparent. It is unusual for a nuclear technology company to go to patent group. Most do the other trade secret route. And because we patent our technology, it is subject to independent validation and analysis some of which we didn’t even know was going on until people published articles on it that it had been very public. And then people asked us, how come you didn’t tell us about that? In fact, we didn’t know about some of them, because they were using publicly available details of our technology. And we do have some trade secrets. But our intent is as rapidly as practical to bring those forward to two patents. Our patents are mostly in the fuel design. Our trade secrets are mostly in the fuel fabrication methodology, but we also have some patents there already. In terms of being publicly traded, which is also unusual for a standalone nuclear company, most don’t have calls like this, for example. It is something that is not usual in the industry. There are a few examples. We are really moving in the final stages of launching the Enfission website. There’s tremendous content going on there. And it’s a very clean and fresh look that we’ll be launching, we will announce it. And I think, it will go a long way toward becoming sort of the technology and sort of conferences and other communication about technologies portals that will be linked from the Lightbridge website. We’re also – we’ve been updating the investor presentation on the Lightbridge website. We’ve been participating in many conferences, some of them are closed doors, some of them are public. But I take your point to heart. If you’re finding points online that validate what we’re saying publicly and we’re not pushing them out, we’ll take steps to do more of that.
Operator: [Operator Instructions]
Seth Grae: And in the meantime, David, do you want to go to some from e-mail again?
David Waldman: Yes. We had a question. I recently saw a project Genesis mentioned in a Framatome job bid for Enfission, can you tell us more about Project Genesis?
Seth Grae: Jim Malone could take that one.
James Malone: Yes. Thanks, David. Project Genesis is the initial project being pursued by Enfission. It encompasses 17 by 17 fuel assembly design for 4-loop Westinghouse pressurized water reactors in the U.S. Under our JV arrangement with Framatome, the domain or scope of Enfission’s activities include additional types of reactors, as Andrey referred to earlier, in the United States and around the world, including all types of pressurized water reactors, boiling water reactors, water-cooled small modular reactors and research reactors.
Seth Grae: Right, and those jobs are some are getting filled, some new job positions are opening up and there’s a new Lightbridge linked in position, linked in page that also links to the Enfission jobs. And those on the call are no people with certain skills. We’ve been hiring as a project. We are looking for more in the engineering area, and it’s been ramping up quite significantly in the engineering capacity at Enfission.
James Malone: So if I could add just a little bit to the concept of Project Genesis, the next project will have a different name. And the fuel would be perhaps a 15 by 15 array for smaller output power plant, it could be for boiling water reactor-type design. So each specific design will have a specific project name as we go forward.
Seth Grae: Great. Thank you. Hektor will go back to the next live question.
Operator: Our next question comes from the line of Sam Wright, private investor. Please proceed with your question.
Unidentified Analyst: Good morning, folks. Seth, you just mentioned dramatic and a substantial access to non-dilutive funding. I was wondering if you could maybe elaborate on the variety of non-dilutive funding options the company might have besides the systems from the DoE? I recognize that you wouldn’t know specific amounts at this time, but could these non-dilutive funding options be a substantial portion of the company’s future capital requirements, or is the majority of funding still expected to come from equity raises?
Seth Grae: Now we expect the majority not to come from a company and not to come from equity raises. We expect a relatively small portion to maybe along the lines of a quarter from now through full commercialization in about three quarters from non-dilutive funding. It starts with the DoE funding, which not only can be large in dollar amount, as well as non-dollar participation, such as in-kind by use of reactors and other things. It could be very expensive elsewhere. But also, we expect that that funding won’t be a 50-50 match that DoE would be putting in more than 50%. And the contributors, in a sense from our side, would not just be Lightbridge, but Framatome also has contributions in cash and has been making contributions in cash. We also expect funding, as well as in-kind assistance that could be quite significant from utilities and the announcement we expect later this year or early next year on that first lead test drive program and we expect would come with cash from utilities, as well as non-cash support. We also mentioned, there could be DoE support and there are new portals available for DoE support and pathways for licensing support, paying for the NRC licensing. So what we’re talking about collectively here is the various pathways of DoE funding, funding from utilities and funding from Framatome.
David Waldman: Great. Thank you. Our next question that was submitted in advance there is, NRC interagency agreement that indicates several vendors, including Lightbridge, will be testing at Oak Ridge National Laboratory this year. Are those plans on track?
Seth Grae: Jim Malone will take this one.
James Malone: Yes. Oak Ridge National Laboratory operates the high flux test reactor at one of the U.S. test reactors, where certain types of irradiation testing can be performed. Another U.S. test reactor that may be suitable for irradiation what we refer to as thermal conductivity fuel samples is the advanced test reactor at the Idaho National Laboratory. As disclosed in our recent public filings, we plan to begin a radiation testing in a research reactor in 2020.
Seth Grae: And I’ll just mention that, our name being used in communications from the NRC, from National Labs, from DoE, those are their communications, not ours. You can read into them what you want, but those are not Lightbridge communications.
David Waldman: That’s right. And I think part of the source of information, I may have formulated the question, was related to our attendance at the Idaho National Laboratory meeting assessing the impact of the Halden research reactor closure.
Seth Grae: Right, and looking at alternatives to Halden.
David Waldman: Great, thank you. Hektor if we can go the next live question.
Operator: Our next question comes from the line of Brian Radcliffe, private investor. Please proceed with your question. Brian, your line is now live.
Seth Grae: Might be on mute.
David Waldman: Right. In the meantime, let me go to the next question. How likely are you to solidify LTA agreement in 2019? And what details can you provide regarding your progress towards this milestone?
James Malone: David, this is Jim. I had a very succinct answer to the question when I first saw it and the answer is very, not to be smugger or sound sassy. But I believe we’re very likely to solidify an LTA agreements in 2019. With respect to providing details, as you might suspect, I really can’t do that at the moment, because we’re in private negotiations with a couple of people who may be the host facility. So I don’t want to reveal it. Although you can kind of look around there’s a few candidates for it. And we’ll certainly release more information as the negotiations proceed, and we’re comfortable and the target reactor is comfortable in releasing that information.
Seth Grae: Right. And the lead test rod agreement that we intend to announce later this year or early next year, we’re pretty confident, not just which utility, but which specific reactors those would go into. And then the lead test assembly, which is really the final commercial product that bundle a few rods for the agreement in 2019 could be with the same utility and or with others.
David Waldman: Great. Thank you. The next question is, when does management anticipate recording of Lightbridge’s first revenues from Enfission-related operations? And what is the time line for payment from utilities?
James Malone: This is James Malone, again. We expect the nuclear utility customers to provide cash and/or in-kind contributions for our project as it moves forward. Specific amounts in schedule are to be negotiated as part of a lead test rod and lead test assembly contracts with the target utilities. So it is unusual. In my experience as a fuel manager at a utility, it’s difficult to get them to fund things upfront. The fact that they’re willing to talk about it and are enthusiastically engaged in conversation with us is a very positive sign.
Seth Grae: Right. And again, that first contract could be this year.
David Waldman: Great. Thank you. Our next question along the same lines you partially covered. But what is the current timeline for testing? And can you provide more details?
James Malone: Well, due to the decision by the Institute for Energy Research in Norway, their Board of Directors in June decided to permanently shutdown the Halden research reactor, which is really a workhorse machine and it’s a shame that the entire nuclear industry worldwide is losing that facility. However, we are now pursuing an alternative path to collect the irradiation testing data that we would have obtained from Halden, including the – by introducing a combination of test reactor and commercial reactor irradiations. We expect to begin testing thermal conductivity fuel samples in a research reactor in 2020. In 2021, we anticipate the start of initial commercial demonstration by introducing a lead test rod assembly into a U.S. nuclear power plant. Final commercial demonstration comprising operation of multiple lead test assemblies in the U.S. nuclear power plant is expected to begin in 2023, 2024. And I believe that schedule is quite realistic at this time. We’ve pushed a lot of thought and engineering effort into making a rational schedule, so it’s not unachievable, but it’s actually practical.
David Waldman: Great. Thank you. Our next question is, does the company anticipate a reverse split in order to maintain the NASDAQ listing?
Seth Grae: No, we do not expect that. We expect the milestones, which we announced, will be reflected in an increasing stock price.
David Waldman: Great. Thank you. Hektor, we have another live call?
Operator: Our next question comes from the line of Marc Teders with private investor. Please proceed with your question.
Unidentified Analyst: Hi, Seth. do you have a Plan B if the DoE funding does not work out?
Seth Grae: Yes. First of all, if DoE funding does not work out you’re allowed to reapply. And they’re in three month increments and a lot of companies win on their second time or their third times so we wouldn’t give up on that and there are other pathways at DoE as well. Plus, as we said, we do expect funding from utilities and Framatome has begun its cash funding. So, this DoE funding we’re talking about was not available many months ago. For the most part, we’re talking about a new opportunity the administration has come forward with that we’re kind of jumping on. And I think, we’re going to take very good advantage of. But it is a great opportunity for us. We had planned to have a lot of non-dilutive funding before this opportunity came along under other DoE programs and from utilities and working with Framatome. So the answer is, it would be a shame not to benefit from this opportunity, but it’s not something we even had in our plan quite a bit less than a year ago. But now we do and we’re feeling pretty optimistic about it. But we’ll see what DoE decides.
David Waldman: Great. Thank you. And so in the interest of time, I’m going to read out the last question that was submitted prior to the call, given that Lightbridge’s fuel assembly burns at 1,000 degrees lower temperature than conventional fuel assemblies with the use of Lightbridge’s fuel assemblies alleviate the need for nuclear reactors to curtail operations during periods of unusually high environmental temperatures, for example, what is happening in Northern Europe?
James Malone: This is Jim Malone, again, David. The amount of heat that has to be absorbed by the coolant in the reactor in order to reach the desired power output is the same whether you use our fuel or someone else’s fuel. The difference is that our fuel, of course, does run cooler. So we can easily transfer the amount of heat. But that amount of heat is the same and that’s the key piece to answer this question. The heat rejection is about two-thirds of the heat produced in the reactor is rejected into the environment, one-third is created is turned into electricity. So on that balance the – unfortunately, it does not matter to the output side of the reactor. It’s going to be what it is and it’s one-third, two-thirds split, two-thirds goes to the environment even though the fuel runs cooler. So it’s a heat balance and it just doesn’t work out any other way, we can’t change the laws of physics or thermodynamics.
David Waldman: Well, thank you very much. That concludes the Q&A. So I’ll turn the call back over to Seth for any concluding remarks.
Seth Grae: Well, thank you, David, and thank you, Hektor. I’d like to thank all the investors and analysts who’ve been on this call. We look forward to providing additional updates in the near future. In the meantime, our lines are always open at ir@lpbridge.com and 1855-379-9900. Thank you, and goodbye.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.